Adrian Mulcahy: Thank you for joining us, and afternoon for those joining us from the U.S. I’m really pleased to have both Simon Morriss, the Chief Executive Officer of Genetic Technologies; and Tony Di Pietro, the CFO of Genetic as well. So this morning, we are going to go through an Investor Update. There is a formal presentation, which Simon and Tony will both step through. And at the end, we'll move into a Q&A session. And you are more than welcome to submit your questions on the chat on the bottom of your screen as we go through, and we will endeavor to get to all of them at the end. So without further ado, let me hand over to you, Simon, to get the things underway.
Simon Morriss: Thanks, Adrian, and welcome to everybody who has joined the webinar either from Australia or from the U.S. or from wherever you are around the world. As Adrian mentioned, I'm going to step you through a number of key slides where the business is up to at the moment, and where we are planning to head over the course of the next 18 months. So I'll jump straight into it. And again, as Adrian said, if you've got any questions, we'll try and cover them all and just put them into that Q&A box. Next slide. Just wanted to take this cover off on the forward-looking statements. We are going to be going into a little bit more detail than we have ever before around some of the pathways over the course of the next 18 months. So I wanted you to keep this in mind as we've flagged this because it's the first time we've shared with everybody some of the really big milestones that we are chasing over the course of the next 18 months. So it was really important that we take a moment to just reflect on these forward-looking statements. Some of the key messages that I really want to help take, deliver and you to take out of today's call. We, as a team, with a Board and an Executive, have developed a clear vision to be a leader in personalized predictive genomics. I want to take you through our journey from an R&D business to commercialization, and now the drivers of a pathway to profitability. We've identified those drivers to the profitability pathway, and we believe that that could be achieved by middle of financial year 2025. We've got strong momentum in the commercial operations with 29% growth in customer receipts with a global operation now with a comprehensive human and animal health portfolio. We've engaged with leading global collaborators, and we've begun our journey with a strong commitment to ESG principles, and we've got a well-defined strategic plan to execute on a multi brand strategy across a number of key jurisdictions. The vision for this organization to be a world leader in personalized predictive genomics, empowering individuals to truly take control of their health. We turn cutting-edge science into personalized predictive tests using AI and machine learning techniques to empower physicians and health outcome – better health outcomes for people around the world, enabling a new era of personalized medicine. We have a world-leading portfolio, the most comprehensive guideline-driven portfolio, both for human and animal health. We are focused on the jewel in our crown is our patented GeneType Multi-risk test. This combines genomic information, clinical information to provide absolute risk of serious disease in the next five years and in your lifetime. We have non-invasive prenatal testing, carrier screening, pharmacogenomics, oncogenetic and monogenic disease testing and pet care. And these three brands GeneType, EasyDNA and Affinity DNA will anchor our revenues in this multi-billion dollar opportunity ahead of us. Our global operations for those that are new to the call, we have five offices around the world. We have one in Melbourne here in Australia, where we have a clear certified and NATA accredited laboratory to be able to do all of our testing. We have one in Brisbane office for our EasyDNA business and in Europe for our EasyDNA business. Affinity is located in the United Kingdom, and we have a team based in the United States as well. We have 60 FTEs around the world. 40 different countries are represented by our tests across the portfolio, 25 patents, nine pending around the world for our tests, our GeneType tests to protect that IP that our team have developed over many, many years. 14 test categories, 51 tests and laboratory partners, which help us become successful across the world, there's 12 of those. Some of the collaborations, which we talked about earlier in the slides there with the likes of Professor Bernard Rosner at Harvard Medical School; Professor Graham Colditz from Washington State University; Professor John Hopper of The University of Melbourne; Jon Emery; and Memorial Sloane Kettering and Ohio State University. There is a description of some of the collaborations and some of the works that we are doing with these prestigious institutions around the world. And one of the milestones that I'll flag with you later on is one to look out for coming up in the first six months of this financial year, which is another one which will actually really add to the clinical utility and the validity of the geneType Multi-Test. So that's one that we are really excited about and we are working very hard on and hoping to be able to make an announcement about over the course of the next couple of months. Delivering revenue and growth is critical. The laser-like focus on our strategy is all around revenues going forward. For the year ending June 30, 2023 with cash receipts at A$8.8 million, up 29% on last year. Gross margin of A$4.2 million, that’s 47%, and we have cash at the bank at A$7.9 million. Some of the strategic and operational highlights that we've achieved over the last quarter in particular is that the quarter delivered A$2.1 million in cash receipts. GeneType tests grew by 250% in commercial samples. That's actual paid tests coming from physicians, coming from clients into the laboratory versus the prior quarter. It's off a modest base, but it's showing an incredible trajectory that's over and above the research samples that we do for all of those other institutions. We have 20 medical practices now in the United States routinely sending tests our way and repeatedly referring samples to us in the organization. We launched a National Television campaign in the United States for geneType for breast cancer, which was exciting for the entire team presented at The American Society of Clinic Oncologists, attended BIO in Boston, and we had publications for the geneType test identifying its performance against the standard-of-care in melanoma, pancreatic, and prostate cancers, which again adds to the clinical validity of the geneType test. I mentioned earlier that we have embarked on our commitments to ESG. We completed in quarter four, our baseline report, and we'll start to report this first in our annual report, which is due at the end of the August month here. So we'll share that. But in this particular presentation, I wanted to focus on what was our highlights for quarter four in building this report and what are our focus areas for the course of the next quarter coming up. In quarter four, the Board and the Executive clearly defined a vision and purpose. We spent a couple of months really pulling apart what we wanted to achieve, how we wanted to achieve it. We introduced an updated maternity leave policy exceeding the mandatory levels and addressing pay equity. We conducted cybersecurity training and addressing the risks and the opportunity for the operations around the world. And I know Tony will probably talk to that more later on. Focus areas for us in quarter one FY2024 is Board composition, looking at the capabilities of our team and how we can continually enhance that. Ethical behavior and the policy reviews around our code of conduct, a Whistle Blower policy and anti-bribery and corruption. Diversity inclusion will also be a key focus where we embark on our culture and engagement survey with the teams across all of those five jurisdictions we talked about with the UK and Europe and the United States and in Australia. So we'll be launching a culture and engagement survey during the first quarter of this financial year. Some of the achievements over the last 12 months, and I'm not going to go through these all verbatim, this presentation is available on the ASX portal, so you're able to download that and save the copy. Financial year 2023 Group receipts at A$8.8 million, really adding to that commercialization revenue generation journey that we are definitely on. The risk test for geneType up 250% versus the prior quarter. That's a really great milestone for us to achieve, and that's growing new clinics and new tests every single week. 9 Tests NOW commercially available in the U.S., more than a 100 medical practices are on-boarded across the world. And we launched the TV campaign. We integrated two acquisitions, and that is something else that Tony may talk about later on as well over the last 18 months. And that's been an incredible amount of work to build that into a global operations there. We've launched partnerships with the Australian Breast Care Center with Dr. Nicole Yap, screening for breast cancer risk with Professor Bruce Mann. Presented at the ASCO GI Conference and the ASCO Conference in the United States and attended a number of other conferences around the world. Peer-reviewed publications, six in the last seven months. This was a wonderful milestone for the team submitted a geneType risk test to the NCC guidelines for review and acceptance, and we haven't heard back the results of that just yet, but that was a milestone to get everything ready and prepared to make that submission to the NCCN guidelines. So we've identified that our test performs better to the current standard-of-care that's in the guidelines, and we want to make sure that we are included in that as well. Publications, and there's a couple of the journals there, and we continue on our patent strategy. Our pathways to market remain absolutely clear, the medical payer business-to-business model, whether they be through GP, through specialists, through obstetricians and gynecologists, through integrative medicine, functional medicine in the United States, distribution pathways, payers, organizations and employer groups in the United States. They are all part of our business-to-business distribution model, and they are really key focuses for us over the course of the next 12 months. Consumer initiated testing where consumers can go online and buy the test, and then the medical practice or the telehealth will deliver those results back to those patients directly via telehealth. And our direct-to-consumer platform where there's no medical supervision required. And we focus here heavily on the EasyDNA and the Affinity DNA brand. Affinity DNA brand is really focused heavily on the Amazon marketplace across the world, so it doesn't cannibalize the EasyDNA brand and making sure that EasyDNA is available across the open market direct-to-consumer, and then they won't cannibalize each other and cross those pricing conflict. That's how we manage that multi-brand, multi-channel strategy across the world. Our innovation is absolutely key. I'll talk about one of the other innovations coming up over the course of the next six months, but our geneType Multi Risk test with all nine tests now available in the United States. We've just put our final regulatory submission back to the NATA for Australian accreditation after they've asked us a couple of simple questions, and we expect that NATA approval to be available very, very soon. So it's available online tests in the United States, and we are just about to launch a summer campaign in the United States for Melanoma and that's the third largest disease or cancer disease in the United States. One of the great things about this test is these nine diseases cover up to 70% of annual mortality and morbidity. Importantly, facts speak for themselves. The geneType for breast cancer, for example, has been modeled from a budget impact model that actually can save the entire payer system in the United States, 3.6% or $1.4 billion in annual cost to the system. So implementation of this geneType for breast cancer risk test will actually stratify the population better than any other test. We can increase the number of people we screen, we can increase the number of screening surveillance that we do for those high risk patients and still save the system money by early detection and saving lives. This is one of the tests that we are absolutely most excited about, which we are planning to launch in the first half of FY2024. This is the comprehensive hereditary breast and ovarian cancer. This is the world's first test that combines the hereditary BRCA mutations or the pathogenic genes, along with familial, along with the sporadic, which is the traditional geneType pathogenic risk test and the clinical risk questions there, which gives you 100% risk or the hereditary breast and ovarian cancer launching later in this year. So this advances any other breast and ovarian cancer test that's available on the market, and it allows us to identify high risk in those patients that are BRCA negative, may have a family history where 85% of cancers are diagnosed during the course of a year, but are absolutely just sitting there unknown to other people. EasyDNA, continued growth is planned for EasyDNA and Affinity DNA. The brand refresh is completed. The website refresh is completed, and now we're now on the e-commerce strategy. We're looking at all of the backend search criteria, backlinks and a whole lot of other elements of lead generation and new sales channel for this particular brand. It's a really exciting phase for the organization and thanks for the brand and the team are really excited for the year ahead for the EasyDNA brand and the Affinity DNA brands. I wanted to spend a little bit more time on these next couple of slides. This is the first time that we flagged this and we've presented this and prepared this has gone with a lot of deep thought from the team and wanted to share this. This is our pathway to profitability. For the last 20 years plus, the organization has been research development innovation. The company has spent millions and millions of dollars in developing the tests that we have today. In 2021, we launched the geneType Multi-Risk test, now covering nine diseases up to 70% of annual mortalities and morbidities. We acquired EasyDNA global direct to consumer business and started generating revenues. The next phase of our organization was commercialization and revenue generation, and we are in the middle of that right now from 2021 to 2023, acquired the Affinity DNA global business there, developed commercial pathways for the entire portfolio and delivered A$6.8 million in growth in revenues to the end of June 30, 2022. 2023, developing and building our U.S. and Australian B2B markets for geneType, absolutely critical. And as you saw a moment ago, 250% growth in number of commercial tests coming back into the lab quarter-on-quarter. Delivering revenues for a – in Australian dollars a year of A$8.9 million to the year ending June 30, 2023. As stated before, 29% growth on 2022, an exciting trajectory for the team. And the next generation, on the next phase for us is the pathway to profitability 2024 and 2025. Our pathway to profitability focuses on five key strategic drivers, people and culture and the capability of our team, our whole of life portfolio, engaging our stakeholders, our sales and marketing excellence and the systems and processes that underpin that for our business. What does that look like? Over the next six quarters, we've mapped out a series of really important milestones for us to achieve and the revenue drivers, which will be the guiding principles to help us achieve our pathway to profitability. Over the course of the first half of this financial year, there are four key milestones that we should be looking out for. It's the launch of the UNITY test, the prenatal test, a screening test that we have a license for here in Australia and for the region. Launch of a pilot with a small payer or a medical institution here across to actually prove the clinical utility, another key milestone for us. An exciting opportunity for us is the launch of the hereditary breast and ovarian cancer test, the 100% comprehensive risk assessment test for hereditary breast and ovarian cancer. This is one of the most amazing pieces of tech are world’s first tech that we are really excited about delivering in the first half of this financial year. Launch of a pilot study with another academic institution here. This is another one which will actually demonstrate the clinical utility, and we're very excited to be partnering with this institution, and we are looking forward to being able to share that with everybody in the course of the next couple of months. We're just finalizing a number of those details there. So our strategy and our pathway to profitability and the drivers of growth rely on the incremental sales from GPs and specialists at OB-GYNs, functional medicine, but it also requires a really laser-like focus on securing large volumes, material volumes and longer term volumes, which is a little bit more difficult through payers and large distributors and our B2B partners in the U.S. They are a critical milestone for us to achieve that pathway to profitability by the midpoint of FY2025. This is a really new slide for us to be able to share with our investor community here. We are thrilled to be able to share it because we've packed it out, but it requires a lot of focus for us to deliver all of these milestones. So in summary, the team have developed a clear vision and strategy to be a leader in personalized predictive genomics. We've identified the key drivers of revenue and the pathway to profitability by mid-2025. We've strong momentum in commercial operations with 29% growth in customer receipts to the end of June 30, 2023. We have a global operation with a comprehensive human and animal health portfolio. We've engaged leading global collaborators and we've begun the journey on our ESG commitments on ESG principles aligned with World Health Organization, and we've a well-defined strategic plan to execute a multi-brand strategy in key regions. So with that, I thank everybody for joining us. I thank everybody for jumping on the call, and I know that this is being recorded so we can share it more widely and more broadly. And the presentation is available on the ASX. I might just hand back to Adrian. So if there's some questions that have come through that you would share with Tony or myself or anything that may come through.
Q - :
A - Adrian Mulcahy: Thanks, Simon. And just a reminder for those joining us just to the Q&A section at the bottom of your screen, please enter those questions as we go through. Simon, we've got a bunch already that have been filled since we've started. So let me start at the top, probably an easy one. This one, it's been a strong year for the group, but can you talk about the key drivers and how these will continue to be features in this current financial year?
Simon Morriss: Yes. I think, I go back to the key drivers of the pathway to profitability, the focus is on revenue. The focus is on sales of not only our baseline business with Affinity and EasyDNA, but driving material incremental growth in the geneType Multi-Risk test and the nine diseases that we currently look at. Driving growth in the hereditary breast and ovarian cancer test, the comprehensive test, absolutely critical for us as well. All core foundations of growth for us in the future. And really important because it's a long journey, it's a hard journey, it's a real journey that takes a lot of commitment is securing that B2B payer or distributor or employer, which gives us that coverage in the United States. And we are very, very hopeful to be able to announce the launch of a small pilot over the course of the next sort of a couple of months. And that's a real material one for us.
Adrian Mulcahy: Thanks, Simon. And a note for those that are joining us that Carl Stubbings has joined us as well, the Chief Commercial Officer for Genetic. So now that there'll be some questions for Carl as well. But just the next question, Simon, on the ESG front, and this sounds like a cynical investor, no doubt. This is the first time you've referred to this as being important. Can you share some of the background and is this embedded in the organization culturally or it's just another box ticking exercise?
Simon Morriss: Well, the first thing I'd say is absolutely not a box ticking exercise. When we talk to our investors, this is a real high on their priority list. So it's not a box ticking exercise at all. We've only just completed our baseline report. So where are we today? We now identify where we want to be, and we'll make sure that we put that plan in place to deliver on those three milestones. Every organization is different, every organization's footprint is different, and every organization's priorities are different. So we'll be working very, very hard with the Board and the executive to make sure that ultimately we are great corporate citizens around the world, and that we actually deliver on some of those things that are materially beneficial to the organization and to our entire stakeholder groups. So some of those principles and those things that we talked about in the first elements of the next quarter with regards to some of those policy reviews, some of the board composition and some of the things stakeholder [indiscernible] culture and engagement survey for us as a team, they are things to really focus on now and they're real things, they're not just box ticking exercises.
Adrian Mulcahy: Thanks, Simon. So next question. This might be one for Carl, actually. Previously you've spoken about 11 active payer conversations. Can you update us on where these conversations have got to?
Carl Stubbings:
– : But as we do that pilot and that evidence becomes available, that will help us move the conversations forward with the other payers that we referred to previously. It's a long pathway and anybody who's gone through this process in getting reimbursement for a device or medical procedure in the United States would know this and would agree with me. But you've got to start to build the foundation. I think we are very close to finalizing what that foundation looks like and that should move us towards the next stage of those conversations.
Adrian Mulcahy: Thanks, Carl. Thank you. Next question, back to you, Simon. With the launch of the world first comprehensive risk assessment test for breast cancer – breast and ovarian cancer, can you share what this means?
Simon Morriss: Yes. At the moment when someone wants to do this test, it's actually in two parts. You would traditionally think that you're qualified for a BRCA test, like a for a breast or a ovarian cancer because you may have a family history or a first degree relative, but it's such a small minority of the population that actually qualifies for that test, and it's only about one in 400 people. What we are doing here is we're actually combining this plus the clinical questions plus our geneType polygenic risk test and our comprehensive one solution, saliva-based non-invasive solution for the world who actually have this test and be able to do it once. We know that 85% are actually random and sporadic in breast cancer. So from that perspective, it just allows us to be population wide. And the addressable market for this is huge, and those people that normally wouldn't naturally qualify for a BRCA test can actually have it done anyway. If they're BRCA positive, they'll have one pathway. If they're BRCA negative and their average risk, they'll have another pathway. If they're BRCA negative and they have an elevated risk, they have another pathway. All of these pathways can be mapped out for a patient with one test. That's why this one is so important because at the moment it's two separate tests and it's quite inconvenient and that we are bringing it into one.
Adrian Mulcahy: Thanks, Simon. Next question. Can you talk through the progress you've made with your direct-to-consumer strategy and EasyDNA?
Simon Morriss: Yes. Baseline program has been good and it's not without its challenges that we've had. We've built this amazing new website, but it's got so much content in there for everybody that we had some technical issues prior to the launch of it. So we didn't have the greatest user experience, so we were a little bit delayed there, but the actual launch of that particular website is looking sensational now, and we are really, really happy with it. Some regions are going really strong and some regions have some really challenging jurisdictional changes in them there. So it's a really interesting business to run a – different to running a business with serious diseases with our business with specialists and GPs. But it's such an exciting dynamic and fun business to run with the team around the world and we speak with them regularly, our team members there. But it's growing and there is growth forecast across the next two years in both the Affinity and the EasyDNA business to contribute to that pathway to profitability. So very exciting and part of our team.
Adrian Mulcahy: Thanks, Simon. Good follow-on on that regard with respect to the next question. So I'm pleased to see you are talking about your pathway to profitability by the end of 2024 calendar year. I note the biggest change in the March quarter next year is the inclusion of a B2B distributor and payer, simply what is your strategy to secure this driver for the business?
Simon Morriss: Sorry, can you just repeat that one there? I just got slightly distracted there. Sorry.
Adrian Mulcahy: Apologies. So I'm pleased to see you talking about your pathway to profitability by the end of 2024 calendar year. I note the biggest change in the March quarter next year is the inclusion of B2B distributor and payer. Simply what is your strategy to secure this driver for the business?
Simon Morriss: Yes. I think it's beefing up resources in the United States to be able to secure this and add to the capability of our team. So we mentioned that we engaged the market access team with over 10, some 12 months ago to actually create the budget impact model that gets us the seat at the table. To execute on those plans and the payer conversations, the distribution conversations that Carl was talking about just before a moment ago. They're really critical to have a really good commercial person and then a good marketing agency that creates all the materials for the payers, whether they be for clinicians or for patients or for payers. They're all different materials, so the capability of our team. So we know that Carl mentioned before we have a number of those payer conversations on the hook ready to go and really, really close. But we've also got a number of large distribution partners, aggregated partners that we're also talking with. So you are absolutely right. A critical milestone for us over the next 12 months in achieving this pathway to profitability is securing one of those larger payers in the United States to actually help us achieve our goal. And we are absolutely laser-like focused on the geneType baseline business with physicians and the payers and the distributors and the employers. Everything's focusing so heavily in bias towards achievement of that because it is fundamental to achieve that goal.
Adrian Mulcahy: Thanks, Simon. And you kind of touched on this in your response to that question just then, so the question is what new U.S. hires have you made?
Simon Morriss: Yes. So we've got three critical functional areas that we've haven't had dedicated to the organization. Chief Medical Officer based up in Connecticut. We have a new commercial business development person based in Arizona and a new Chief Marketing person based in San Diego, as well as the appointment of a new marketing agency based in Chicago. So there is four critical appointments that have been made in the last four weeks for us to be able to seize and execute this plan that we've put out there for an ambitious goal for ourselves and that pathway to profitability. Without the fundamental or the foundation there for us to achieve that, we'll be well behind those hires. Two of those joined us on the 26th of June and the other one joined us just a little bit earlier and then have been joining us in conferences and the agency joined us on the 1st of July. So they've been in part in the business sort of for the last four weeks now. So really, really exciting capability upgrade to the team to deliver on the plan that we've got set ahead for ourselves.
Adrian Mulcahy: Thanks, Simon. It looks like I've got a couple of questions for Tony, so you don't get off free Tony.
Tony Di Pietro: Okay.
Adrian Mulcahy: Firstly, so can you talk about the addition of the two businesses acquired in the last two years and their integration?
Tony Di Pietro: Sure. Yes. So obviously bringing into businesses like we have – that have given us that exposure if you like, or an increased exposure to the direct-to-consumer market always presents challenges. And it has improved and we've embedded a lot of our processes together in and reporting lines have come together, if you like. So it's always a bit of a challenge and it relies on good people in all those regions that we have. So those two businesses gave us exposure to the European markets as well. So we have a team in the UK and in Malta. So part of the integration involves in new systems that we hadn't had in place at Genetic Technologies in Melbourne. So that's all – that implementation is really now embedded down and now we're looking at efficiencies between those businesses. And to be honest, I guess the point to rise is it's always important to have good people on the ground. And those two businesses have brought very good people to the table for us and we rely heavily on those and they've been fantastic for us and they help us obviously along the way to actually embedding those businesses and improving our efficiencies there in reporting.
Adrian Mulcahy: That's great, Tony. Just actually on a similar kind of theme, the next question also for you. So how have you managed from a financial controlling perspective, an internationally diverse business from Melbourne?
Tony Di Pietro: Yes. So look, again, those challenges too because you've got all these time zones now that it's almost that we have a 24-hour clock on the business now, and we're getting communications over that timeframe in the middle of the night. And that can always present challenges. But like I said, I'll get back to the fact that you need good people in those regions and we have those and they all have their responsibilities and we're all working together as a strong team to ensure that we meet all of the requirements of the business with that whether that's from a customer perspective or from a financial admin perspective.
Adrian Mulcahy: Thanks, Tony. I reckon this next one might be in your wheelhouse as well, so it's on cybersecurity, so – which has been a topic to focus in recent times. So what initiatives have you implemented to manage this risk?
Tony Di Pietro: Sure. I mean, I think that the point I'll make upfront is it's always been a focus for the business even before I've been here. If we're dealing with patient information and the security of that is always paramount to ensure that that information is held, if you like, securely and de-identify. So part of that is to de-identify that. So I'm saying all of this to say, I think we've always had a strong emphasis on that and the processes involved in our business have been there, but we have been improving that of recent time as well. We know that it's been in the public domain a lot about those breaches that have occurred at Medicare and at Optus at recent time. So we've improved our security posture, particularly with the new businesses as well. They've just gone through a very sort of intensive, if you like, review of all of their processes and they've improved those. They've moved to Office 365, and here in Melbourne we're actually going through a similar process to improve our processes and actually align ourselves with them on Office 365 as well.
Adrian Mulcahy: Thanks, Tony. This might be back to you, Simon. So can you provide an update on QIAGEN collaboration and a comment very exciting to the overall competitiveness for the business?
Simon Morriss: Oh, certainly. So I'll give two small updates to that one there. We've just commissioned our first new piece of equipment from QIAGEN, which will actually help us onboard a whole suite of new tests and actually makes us more efficient in our NATA accredited and clear certified lab here in Melbourne. So that's being done. We've also just recruited and appointed only in the last couple of weeks a new senior scientist in the laboratory whose dedicated focus is to bring on new pathways for us and new tests and validated before it comes part of the commercial operation. So that's now in full swing. So we're very, very excited about what the future holds. Now they will actually help us bring the hereditary breast and ovarian cancer test to Australia with that particular technology that we're onboarding here as well, not just in the United States. So that's going to be exceptionally exciting. So there's two updates, which are both relates to QIAGEN and that partnership and that agreement that we have with that team.
Adrian Mulcahy: That's great, Simon. We've exhausted the group. So I'll hand back to you now for any closing remarks.
Simon Morriss: Yes. I think, firstly, I want to thank everybody who's taken the time to join us today. I really do appreciate it. As you can see, we've really put out a new dimension to our presentation, identifying our pathway to profitability from the last 20 years as R&D and innovation to the last two years in commercialization and now the journey of the pathway to profitability, we've quickly stepped through a couple of big phases of our organization and we are laser-like focus on execution of that plan to deliver on our commitments over the course of the next 18 months. The future of precision medicine is here, the geneType risk test can improve the health of populations worldwide through early detection of serious disease where there may not be any family history. So when we integrate our genetic and clinical risk factors through AI and machine learning techniques, the early detection will absolutely save lives and are being implemented across practices across Australia and the U.S. on a weekly basis. So it's essential to know your risk, don't go wondering, join us and know your own risk because early detection will save lives. And we're so excited about what the future holds for this organization and that we've actually articulated and driven that pathway to profitability. We've built the team around us to be able to execute on that plan, and its absolute focus on delivery of that now. So again, thank you to everybody for joining us today. We really appreciate your time and sticking with us. So again, any other questions, please feel free to reach out.